Operator: Good day, ladies and gentlemen, and welcome to the Unitil Fourth Quarter 2015 Earnings Conference Call. At this time, all participants are in listen-only mode. [Operator Instructions] As a reminder, today's call is being recorded. I would now like to turn the conference over to David Chong, Director of Finance. Sir, you may begin.
David Chong: Good afternoon and thank you for joining us to discuss Unitil Corporation's fourth quarter 2015 financial results. With me today are Bob Schoenberger, Chairman, President and Chief Executive Officer; Mark Collin, Senior Vice President, Chief Financial Officer and Treasurer; and Larry Brock, Chief Accounting Officer and Controller. We will discuss financial and other information about our fourth quarter and the full year on this call. As we mentioned in the press release announcing the call, we have posted that information including a presentation to the Investors section of our website at www.unitil.com. We'll refer to that information during this call. Before we start, please note that comments made on this conference call may contain statements that are commonly referred to as forward-looking statements, which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements include statements regarding the company's financial condition, results of operations, capital expenditures and other expenses, regulatory environment and strategy, market opportunities, and other plans and objectives. In some cases, forward-looking statements can be identified by terminologies such as may, will, should, estimate, expect or believe, the negative of such terms or other comparable terminology. These forward-looking statements are neither promises nor guarantees, but involve risks and uncertainties, and the company's actual results could differ materially. Those risks and uncertainties include those listed or referred to on slide one of the presentation and those detailed in the company's filings with the Securities and Exchange Commission, including the company's Form 10-K for the year ended December 31, 2015. Forward-looking statements speak only as of the date they are made. The company undertakes no obligation to update any forward-looking statements. With that said, I'll now turn the call over to Bob.
Bob Schoenberger: Thanks, David and thank you everyone for joining us today. I'll begin by discussing the highlights of our past year. On slide four of the presentation, today we announced net income of $26.3 million or $1.89 per share for 2015, an increase of $1.6 million or $0.10 per share compared to 2014. We have another solid year in 2015 as earnings increase by 6% year-over-year. We had an income from the fourth quarter was $9.3 million or $0.67 per share. We continue to experience strong growth in our gas and electric businesses. Moving on to slide five, the graph shows that our financial results have increased sharply over the past few years with net income growing at an annual growth rate of 13% since 2012, an EPS of the annual growth rate of about 10% over the same period. If you turn on equity has also been steadily climbing as we continue to close the gap between the authorized and actual returns. We invested a record $104 million in capital in 2015. To match these investment growth, we have benefited from a constructive regulatory environment with nearly $16 million of rate belief awarded since 2010. Next on slide six, we outlined our organic initiatives, growth initiatives over the next several years that will support revenue and rate based growth. For our gas division, we will continue to see considerable investment related to increasing market penetration. In particular, we continue to look for large anchor loads that will drive our commercial and industrial sales while providing new info opportunities along newly built Maines. In addition, we have considerable investment in cash term [ph] pipe replacement across all three of our operating states as we modernize and upgrade our distribution system. This pipe replacement activity is expected to continue for a decade in Maine and two decades in Massachusetts providing for uninterrupted long-term investment opportunities. On the electric side of our business, we also have significant investment opportunities. Currently, we are building two substation projects which will enhance reliability and provide capacity to meet forecasted load growth in New Hampshire. Also in Massachusetts, we recently filed a grid modernization plan with our regulators. This initiative provides for a 10 year plan outlining enhancements to our electric system to improve reliability, reduce the effects of outages, optimize demand and expand customer services. Turning to slide seven, you'll see an overview of the results of our gas growth initiatives. Customer growth has contributed significantly to our operating results, with customer additions in the range of 2% to 3% annually over the last three years. In addition, our weather-normalized unit sales have grown in the range of 4% to 6% annually over the past few years. And weather-normalized unit sales for commercial and industrial customers were up about 8% year-over-year. We attribute this customer and unit sales growth to increase the penetration of natural gas as a cleaner, convenient and more affordable energy source for all our customers. We have made prudent investments to upgrade and expand our system in all three states where we have gas operations. Making gas available to an increasing number of households and businesses and providing them with low cost opportunities to make the switch to natural gas. For example, we recently received approval in Maine to implement an innovative program to extend our system to targeted communities currently without gas service. It is called the Targeted Area Build-up program or TAB. This program receives strong support from our regulators in state and local public officials. The TAB program will replace the upfront customer contributions often required to expand into new areas with a rate surcharge mechanism. We expect that offering customers in these areas the ability to avoid an upfront payment will help facilitate customer conversions and allow us to economically reach those targeted areas by expanding our existing distribution system. Our first pilot under this mechanism is targeted for the city of Saco, Maine which represents a market size of a thousand customers and $1 million of potential distribution revenue. As shown on slide eight, we continue to remain focused on cost efficiency, on an O&M cost per customer basis, our electric and gas divisions remain in the bottom third cost group of our new England peers. In fact, electric and gas O&M cost per customer is 20% and 15% below the average of our utility peers respectively. The graphs illustrate how we have benefited from and will continue to leverage our shared services model process improvement, best practices and enhanced technology. Our enhanced vegetation management program has received national recognition as a industry best practice. The America Gas Association has also recognized eight distinct areas of our gas business as best practices. Taking a look at slide nine, you'll see that yesterday we announced an increase in the annual dividend from a $1.40 to a $1.42 per share or an increase of $0.02 per share. Our annual dividend payout ratio is now 74% on the trailing EPS basis. We will continue to assess our annual dividend payout as we execute on our strategic plan and will remind everyone that UNITIL has continuously paid quarterly dividends and has never reduced its dividend rate. Finally, on slide 10, I'd like to highlight the success of our non-regulated subsidiary Usource. Our energy advisory business works with over 1,200 customers in 18 states. Usource revenue grew 9%,a $6.2 million in 2015. As a reminder, Usource has no capital requirements that generates about 5% of our consolidated net income. Usource remains a significant equity kicker for us. Now, I will turn the call over to Mark Collin, our Chief Financial Officer who will discuss financial results for the year and our capital budget for 2016 and other operational highlights. Mark?
Mark Collin: Thanks, Bob, and good afternoon everyone. Let's start, I'm going to start on slide 11. Here, natural gas utility sales margins was $101.9 million in 2015, an increase of $4.5 million or 4.6% for the full year 2015 compared to 2014. Natural gas sales margin in 2015 was positively affected by higher therm unit sales, a growing customer base and higher distribution rates. Therm sales of natural gas increased 1.5% compared to 2014. The impact of the growth in the number of customers year-over-year was partially offset by warmer, winter weather in 2015. They were 2.3% fewer heating degree days in 2015 compared to 2014. If we estimate, negatively impacted earnings per share by about $0.03 compared to prior year. However, compared to normal, they were 3.7% more heating degree days in 2015, which we estimate positively impacted earnings per share by about $0.03. Estimated weather normalized gas therm sales excluding decoupled sales were up 4% in 2015 compared to 2014, led by a year-over-year increase of about 8% in gas therm sales to our largest commercial and industrial customers. Moving to slide 12, we highlight our electric utility sales and margin. Electric sales and margin was $85.5 million in 2015 resulting an increase of $4.7 million or 5.8% for the full year 2015. The increase in electric sales and margin for 2015 primarily reflects higher electric distribution rates, as kilowatt hour sales, units decreased 0.7% in 2015 compared to the prior year. The decrease in kilowatt hour sales is due to lower average usage per customer, for residential customers which was partially offset by an increase in electric sales to commercial and industrial customers. Next on slide 13, you'll see a comparison of the major revenue and expense components driving the year-over-year financial results, including changes in both natural gas and electric sales margins and the other major components. In addition to the gas and electric sales margins I just discussed, as Bob mentioned, Usource revenue was up $0.5 million or up about 8.8% year-over-year. Now let's look at the expenses. Total operation and maintenance expense increase $2.5 million or 3.9% for the full year 2015 compared to 2014. The change in O&M expense reflects higher compensation and benefit cost of $3.5 million, partially offset by lower professional fees of $0.3 million and low all other utility O&M cost net of $0.7 million. Depreciation and amortization expense increased $3.6 million in 2015 compared to 2014, reflecting higher depreciation of $2.4 million on normal utility plant assets in service, higher amortization of major storm restoration costs of $0.9 million and an increase in all other amortization of $0.3 million. The increase in major storm restoration cost amortization is currently recovered in electric rates and reflected in electric sales margin. Taxes other than income taxes increased $0.5 million in 2015, primarily reflecting higher local property tax expense. Interest expense net increased $1 million in 2015 reflecting higher levels of long-term debt and higher interest expense on regulatory liabilities. Other income or expense net changed from an expense of $0.4 million in 2014 to income of $0.5 million in 2015. The result of the recognition of the gang are $0.9 million in the fourth quarter of 2015 on the sale of property. Income taxes increased $1.4 million compared to 2014, reflecting higher pretax earnings. Now turning to slide 14, capital spending is central to our growth strategy. Capital spending has grown at a compound annual rate of 15% since 2012, as Bob mentioned, we had record capital investments in 2015. We expect the trend to continue in 2016, and on the slide we provided a more detailed look at our 2016 capital budget. We currently plan to spend $54 million on gas projects, $34 million on electric projects and $10 million on business systems and supporting technology for a total of $98 million in 2016. Spending on new customer additions we'll be a significant component of this budget, in 2016 we plan to spend about $31 million or 32% of our total capital budget on expansion of gas and electric distribution systems to achieve new customer role. Gas infrastructure replacement is also a significant category spending with $19 million or 19% of our total capital budget in this area. Continuing to slide 15, you could see how our capital spending plan drive growth in our gas and electric rate base, which resulted in an annual rate of 7%, the annual growth rate of 7% since 2012. For the segmenting these results, if you look at our as division, gas rate base has doubled to $357 million, our gas earnings at almost [indiscernible] since we acquired northern utilities in 2008. We're pleased with these rate results and we believe we have investment plans that will continue this past for the foreseeable future. Now turning to slide 16, we've provided an update of our financial results of utility operating company level. The chart shows the trailing 12 months actual earned return on equity in each of our regulatory jurisdictions. Unit sale on a consolidated basis earned the total return on equity of 9.5% in 2015. We have a strong record of achieving base rate with nearly $16 million granted since 2010 across all our operating utilities. This amount of rate relief equates to a 50% increase in our utility sales margin since 2010, much of this rate relief was achieved through cost tracking rate mechanisms which we have successfully implemented across our jurisdictions as we have shown in the table at the right. Now turning to slide 17, we have highlighted here our recent electric and gas rate case filings in Massachusetts. As Bob alluded to earlier, our regulatory strategy is complementary to our investment strategy and our regulatory success is essential to bridging the gap between our actual and allowed returns. Both filings reflect a 2014 testier, a capital structure with a 53% equity ratio and a 10.25% requested ROE. The electric division filing reflects a rate base of $57.3 million, a revenue deficiency of $3.8 million and includes a multiyear rate plan for recovery of future capital additions. The gas division finally reflects a rate base of $57.5 million, and revenue deficiency of $3 million and is complemented by an existing capital track or rate mechanism associated with the replacement of aging natural gas pipeline infrastructure. By statute, the Massachusetts Department of Public Utilities is afforded 10 months to act on a request for a rate increase. The decision in these two rate proceedings is expected by the end of April of this year. Now, this concludes our summary of the financial performance for the period. I will turn the call over to the operator. We'll coordinate any questions that you may have at this time. Thank you.
Operator: Thank you. [Operator Instructions] Our first question is from Shelby Tucker with RBC Capital Markets. You may begin.
Shelby Tucker: Thank you. Good afternoon. Mark, what was the property that you sold in the quarter?
Mark Collin: It was a operating center in Portland, Maine that we acquired during the acquisition and we needed the larger facility with more capability and such. And so we moved to a larger facility given the growth we've seen in the Maine area, and completed that and sold this property as no longer as needed.
Shelby Tucker: Got it. And I guess why should we treat that as ongoing earnings?
Mark Collin: I'd say it's a non-reoccurring a gain on the facility, yeah.
Shelby Tucker: Okay. So as we just – that by reduces your earnings by about $0.04 or so?
Mark Collin: Yeah, if you just looked at that one item I think we've talked to you about the other items including weather with a negative effect on the area. So if you normalize for weather and such I think you probably end up fairly close to where we are or maybe even a little higher than the final reported earnings that doesn’t include the normalize numbers.
Shelby Tucker: Got it, okay. And then Bob, great results at Usource, so glad to see that coming through. As we look at the earnings for this year, the $1.4 million, is that a good base to use from which you can grow or are there items there that brought the $1.4 million to that level?
Bob Schoenberger: Yeah, Shelby thanks for the kind comments. Bottom line is I think Usource – we've kind of reoriented our sales strategy. We started this on a very strong December with new sales and we expect that we can carry that forward. So our objective going forward is to grow our bottom line contribution by 5% to 10% per year.
Shelby Tucker: Got it, okay, great. And then last question I have is, has the competitive landscape for gas conversion changed much given the lower oil prices that we've seen in the market?
Bob Schoenberger: Yeah, there is no question that the drop in the price of oil has – when we talk about being able to grow unit sales and gas by 46% a year it probably would move us towards the lower end of that as long as this drop in the price of oil that exists. But on the other hand, we continue to find opportunity such as the TAB program, I can tell you with that, the preliminary indications from town officials as well as customers in the industrial park along that trip is that they're taking long-term view. So we still think there'll be opportunities even without the competitive advantage we had say couple of years ago.
Shelby Tucker: Great. Thank you guys.
Bob Schoenberger: Good talking to you.
Mark Collin: Thank you.